Operator: Good day ladies and gentlemen and welcome to the first quarter 2009 Pulte Homes earnings conference call. (Operator Instructions) I would now like to turn your presentation over to Calvin Boyd, Vice President of Investor and Corporate Communications.
Calvin Boyd: Good morning and thank you for joining us to discuss Pulte Homes financial and operating results for the three months ended March 31, 2009. I'm Calvin Body, Vice President of Investor and Corporate Communications. On the call to discuss these results are Richard Dugas, President and Chief Executive Officer, Steve Petruska, Executive Vice President and Chief Operating Officer, Roger Cregg, Executive Vice President and CFO, and Mike Schweninger, Vice President and Controller. For those of you who have access to the Internet, a slide presentation available at www.PulteInc.com will accompany this discussion. The presentation will be archived on the site for the next 30 days for those who want to review it at a later time. As with prior conference calls, I want to alert everyone listening on the call and via the Internet, that certain statements and comments made during the course of this call must be considered forward-looking statements as defined by the Securities and Litigation Reform Act of 1995. Pulte Homes believes such statements are based on reasonable assumptions, but there are no assurances that actual outcomes will not be materially different from those discussed today. All forward-looking statements are based on information available to the company on the date of this call, and the company does not undertake any obligation to publicly update or revise any forward-looking statements as a result of new information in the future. Participants in today's call should refer to Pulte's Annual Report on Form 10-K for the year ended December 31, 2008 and last night's press release for a detailed list of the risks and uncertainties associated with the business. As always, at the end of our prepared comments we will have time for Q&A. We will wait until then before opening the queue for questions. I will now turn over the call to Richard Dugas for his opening comments.
Richard Dugas: Thank you Calvin, and good morning everyone. I will first comment on Pulte’s first quarter and then briefly discuss the Centex merger later just before we take your questions. Considering the protracted industry downturn as well as Pulte’s weak backlog and high spec position as of December 31, 2008, we entered 2009 braced for another tough quarter and we experienced just that. As we will detail throughout our remarks we are working hard to improve our position and are making good progress on many fronts. Nevertheless weak macro factors including sinking home prices and rising foreclosures, contributed to a very challenging operating environment during the quarter. Recent macro housing data has led some industry observers to speculate that we may be seeing early indicators of a bottoming for the housing market. Mortgage rates have fallen to multi year lows in recent months. The combination of lower prices for homes and attractive mortgage rates has further increased buyer affordability. National figures released last week for March indicated both new and existing home sales were better then forecasted. This is an encouraging sign although 50% or more of existing home sales represented foreclosure activity. The $8,000 Federal tax credit for first time homebuyers has created additional buyer activity for first time buyers. California issued its own $10,000 credit for new homebuyers in addition to the Federal credit and other states are taking similar measures to spur home sales in their respective areas. Collectively these are encouraging signs for an industry entering its fourth year of the worst downturn since the Great Depression. All of us would like for this downturn to end soon and although we are encouraged by positive signs in several markets, we are watching for a longer period of favorable trends before declaring that a housing turnaround is at hand. Throughout this period of turmoil and transition, Pulte has continued and will continue with the tenants of its near-term strategy, generating cash, reducing overhead expenses, and properly managing house and land inventory levels. These near-term priorities will provide the platform for profitability and position us to thrive once the recovery begins. Here is an update on our progress. We ended the quarter with $1.75 billion of cash on hand, including a Federal income tax refund received during the quarter. The company typically consumes cash during the first half of its fiscal year and the first quarter of 2009 was no exception. As we discussed on our fourth quarter call, we do expect Pulte to be cash flow positive for the year 2009 without considering the tax refund just as we were in 2008. To build our cash balances this year we will continue to sell and close homes, while properly managing limited cash outflows for development of land and house inventory. Our ability to generate cash from operations along with a favorable debt maturity schedule continue to be two reasons we have such a strong balance sheet and our focus in 2009 is more of the same in that regard. Roger will provide more details concerning our financial picture in a moment. We also made further progress during our first quarter in overhead expense reduction. Home building overhead expense was $82 million lower compared with the prior year first quarter, a reduction of approximately 41%. We continue to streamline our organization as the housing sector experiences and ongoing decline in demand levels. We know these reductions are necessary as we strive to return to profitability. We also lowered our speculative house inventory from the fourth quarter 2008 levels by 32%. As previously mentioned we ended 2008 with a high level of finished spec homes based on the weak sales and high cancellation environment seen in the October to December timeframe. We were determined to get the number down and we did just that. However the sale and closing of these spec units contributed to lower gross margins for the period. Both Steve and Roger will speak more to this in their prepared comments, but let me say that I am pleased with the recent focus I’ve seen across the organization on continuing to drive spec numbers down and the shift to selling more profitable presale units. Although down on a year over year basis our first quarter sales were up significantly versus the fourth quarter. This was an encouraging sign although most of this increase we view as seasonal but not all of it. We are also encouraged that the traffic and signup levels seen in the first quarter versus the fourth quarter of 2008 have continued into April. In addition to selling more homes, we are accelerating our path to profitability by reducing construction cost, and have been very active in Q1 with a national house cost blitz aimed at introducing more efficient, smaller homes where appropriate and also significant re-contenting of our homes to emphasize more value for the money. Our operators continue to analyze each phase and component of the construction process and as a result have identified numerous cost reduction opportunities on both labor and materials that are focused on helping us to improve margins. We continue to make progress on our long-term goals of decreasing house cost, increasing productivity, reducing waste on the job site, purchasing more effectively, and other steps that Steve will talk more about in his prepared remarks. All of the steps we are taking are necessary to properly navigate this downturn. Our cash and balance sheet strength have allowed us to manage through this difficult environment and give us the flexibility to successfully operate in a recovering market when the recovery emerges. Our focus on pre-selling versus selling inventory homes, streamlining operations, and reducing construction and overhead costs will accelerate our return to profitability and ultimately increase shareholder value. Look for Pulte to continue aggressively pursuing these short-term metrics while taking appropriate actions to ensure our long-term success. Finally before I turn the call over to Roger, let me express a heart-felt thank you to all the wonderful Pulte employees who work tirelessly to make this company the best it can be. You continue to endure the toughest times this company has ever faced, and yet deliver an unparalleled level of performance day in and day out. You are the best and our most valuable asset. Thanks again. Now let me turn the call over to Roger Cregg.
Roger Cregg : Thank you Richard and good morning everyone. The first quarter homebuilding net new unit order rate decreased approximately 44% from the first quarter last year, on approximately 21% less communities versus the same quarter last year. Revenues from home settlements for the homebuilding operations decreased approximately 60% from the prior year quarter to approximately $565 million. Lower revenues reflect lower unit closings that were below prior year by approximately 55%. The average sales price decreased approximately 11% versus the prior year quarter to an average of $263,000 per home. In the first quarter land sales generated approximately $600,000 in total revenues, which is a decrease of approximately $1.1 million versus the previous year’s quarter. Homebuilding gross profits from home settlements for the quarter including homebuilding interest expense was a loss of approximately $333 million versus a loss of $449 million in the prior year quarter. Homebuilding gross margins from home settlements as a percentage of revenues was a negative 59% compared with a negative 32% in the first quarter of 2008. The change in margin conversion versus the prior year quarter is attributed to lower community valuation adjustments in the current quarter offset by reduced closing volumes and increased selling incentives. Adjusting the current quarter for land and community valuation charges of approximately $359 million, the gross margins from home settlements as a percentage of revenues was approximately 4.5% for the quarter. The current quarter benefited from the impact of prior quarter’s land and community valuation adjustments by approximately 990 basis points, or approximately $56 million. In addition the gross margin excluding the valuation adjustments and interest expense resulted in an 8.6% conversion versus 10.6% for the fourth quarter of 2008. The sequential reduction of approximately 200 basis points resulted from our aggressive strategy to sell and close finished speculative homes from inventory in the fourth and first quarters. Homebuilding interest expense decreased during the quarter to approximately $55 million versus approximately $58 million in the prior year. Included in the interest expense of the $55 million, is an additional $32 million of expense related to the land and community valuation adjustments taken in the current quarter. Also included in the gross margin for the quarter was a charge related to land and community valuation adjustments in the amount of approximately $327 million. For the first quarter we tested approximately 150 communities for potential impairments and valuation adjustments. We recorded valuation adjustments on approximately 116 communities for the quarter of which approximately 77 communities or 66% had been previously impaired. Of the $327 million of the land and community valuation adjustments, approximately 34% or $111 million were related to Del Webb communities. In addition we had seven communities representing approximately $38 million of impairments that are currently not open for sale. The total gross loss from land sales posted for the quarter was approximately $300,000. The loss is mainly attributed to the fair market value adjustment in the current quarter for land being held for disposition and land sold in the amount of approximately $600,000 which is included in the land cost of sales. Homebuilding SG&A expenses as a percentage of home sales for the quarter was approximately 21.2% or $119 million, a decrease of approximately $82 million or approximately 41% versus the prior year quarter. The current quarter reflects the reduced level of expenditures in all categories associated with the decline in volume and also included approximately $3 million of severance related overhead reductions as we continue to adjust our expenses to lower volume levels experienced throughout the quarter. In the other income and expense category for the quarter, the expense of approximately $54 million includes approximately $1 million in pre acquisition expense write-offs, $50 million associated with the valuation adjustment in several joint venture investments, and approximately $2 million related to restructuring expenses. The homebuilding pre-tax loss for the first quarter of approximately $507 million resulted in a pre-tax margin of approximately a negative 89.8% on total homebuilding revenues. Excluding the charges related to the valuation adjustments and land inventory and investments, land held for sale, and severance and related charges, homebuilding pre-tax margins converted at approximately a negative 16.3% from operations or approximately a $92 million loss for the current quarter. The pre-tax loss for Pulte’s financial services operations for the first quarter was approximately $750,000 or a decrease compared with the previous year’s quarter of approximately $16 million. The loss in the quarter is mainly attributed to lower sales volume activity. The product mix in the first quarter for funded agency originations were approximately 99% of loans funded from the warehouse line versus 96% for the same period last year. Non-agency funded originations fell from 4% of loans funded from the warehouse line last year to approximately 1% this quarter. Additionally within the funded agency originations FHA loans were approximately 29% of the loans funded from the warehouse line in the first quarter versus approximately 28% in the fourth quarter of 2008. The level of adjustable rate mortgage products originated during the first quarter of 2009 decreased from approximately 4% of origination dollars funded from our warehouse line in the first quarter of the previous year to less then one-tenth of one percent this quarter. Pulte mortgage capture rate for the current quarter was approximately 92%. Mortgage origination dollars decreased in the quarter approximately $460 million or 57% when compared to the same period last year. The decrease is related to the volume decrease in the homebuilding closing activity for the quarter. The average FICO scores of our loans closed for the period was 744, increasing slightly over the 741 score of the fourth quarter of 2008 and up from the 741 score in the same period last year. In the other non-operating category pre-tax loss for the first quarter of approximately $4 million includes mainly corporate expenses of approximately $7 million offset by $3 million in net interest income related to the invested cash balance during the quarter. For the first quarter the company’s pre-tax loss was approximately $512 million. Excluding the charges related to the valuation adjustments in land, inventory, and investments, land held for sale an severance and related charges, we had a pre-tax loss from operations of approximately $97 million for the company in the current quarter. The income tax expense for the first quarter was approximately $3 million or an effective tax rate of 0.5% for the quarter. The net loss for the first quarter was approximately $515 million or a loss of $2.02 per share as compared to the net loss of approximately $696 million or a loss of $2.75 per share for the same period last year. The number of shares used in the EPS calculation was approximately 254.6 million for the quarter. Moving to the balance sheet for the quarter, we ended with a cash balance of approximately $1.75 billion, increasing approximately $91 million from the fourth quarter of 2008. House and land inventory ended the quarter at approximately $3.9 billion. Excluding the inventory value adjustments in the first quarter of approximately $359 million and the reclassification of approximately $63 million from land held for sale, total inventory decreased approximately $52 million from the fourth quarter. House inventory excluding land for the quarter decreased approximately $74 million. Land inventory during the first quarter excluding valuation adjustments and the reclassification from land held for sale increased approximately $22 million. The major changes were from land relief through home settlements of approximately $147 million offset by investments in rolling lot option takedowns of approximately $16 million, and land development spending of approximately $125 million for the quarter. In accordance with FAS 109, accounting for income taxes as at March 31, we had net deferred tax assets of $1.3 billion which were offset by a full valuation allowance due to the uncertainty of realizing these deferred tax assets. The major components of the increased net change in cash for the quarter of approximately $91 million resulted from the decrease in inventory contributing approximately $54 million, through the reduction of house inventory, offset by a slight increase in land inventory. In addition in the quarter we decreased our payables and accrued and other liabilities by approximately $217 million, received the Federal tax refund of $362 million, and all other categories for and another net outflow of approximately $108 million including the net operating loss in the current quarter. With approximately $1.75 billion in cash at the end of the first quarter we had no outstanding balance drawn on the revolving credit facility at the end of the quarter. The company’s gross debt to total capitalization ratio was approximately 57.6% and on a net basis, 37.9%. Interest incurred amounted to approximately $54 million in the first quarter compared to $58 million for the same period last year. Pulte Homes shareholder equity for the first quarter was approximately $2.3 billion. We repurchased no shares during the quarter and the company had approximately $102 million remaining on our current authorization. On our financial covenants for the first quarter the required debt to total capitalization ratio was not to exceed 55% and at March 31, the ratio as defined in the credit facility was 53.8% and the tangible net worth cushion as defined in the credit facility was approximately $216 million. In addition at March 31, we were in compliance with all of the covenants under the credit facility but due to the reduction in tangible net worth below $2.25 billion the commitment amount on the credit facility was reduced to $1 billion from $1.2 billion as defined in the agreement. We continue to expect to generate positive operating cash flow in 2009, excluding the cash tax refund received in the first quarter. We currently plan on land investment in 2009 to include land acquisitions that we estimate at this time in the approximate range of $150 million and land development spending to include soft costs in the approximate range of $600 to $650 million for the year. We will continue to adjust our levels of investments based on what we were experiencing in the markets and will continue to operate our business accordingly. I will now turn the call over to Steve for additional comments on the quarter.
Steve Petruska : Thanks Roger, and good morning everyone. Richard has already touched on just how difficult the operating environment for housing was in the first quarter. Rising unemployment, increasing foreclosure activity, and declining home prices kept demand for new homes at depressed levels for the quarter and negatively impact consumer confidence. In response to these challenging conditions, many qualified buyers have become spectators waiting for what they view as the right time to purchase a new home. Although we are encouraged by some of the housing related economic data released for March, Pulte’s success does not rely on a near-term recovery but on its unwavering attention to executing our own strategy. From the operations side of our business, I will talk about two components of that strategy, maintaining a lower cost structure and managing inventory levels. Both Richard and Roger provided data about our overhead expense reductions in the quarter compared to the prior year first quarter. We continue to make the needed adjustments to our overhead structure in response to falling levels of demand for new homes. Our employees have done a great job as we leverage their skills and talents over a wider range of duties and functions. On the house cost front, our operators have made additional progress in reducing the cost of materials and labor for the homes we built. A portion of these savings are being generated through further price negotiations with our suppliers. Our trades realize these concessions are required due to the length and depth of this housing downturn. They understand that we’re all in this together. We will continue to work in a collaborative manner with our suppliers as this industry downturn persists. Another source of savings comes from our house cost blitz initiated in the first quarter. With this company-wide initiative we are adjusting some of the content of our homes, such as cabinets, flooring, and appliances, to provide our customers more affordable alternatives. We continue to build more homes with smaller floor plans in several of our communities to make our homes more affordable. We’ve also accelerated process change across our operations resulting in better pricing metrics for items such as lumber, and drywall. The combination of these initiatives is yielding significant cost savings per home and should allow us to improve margins or better position us to compete for [inaudible] closings going forward. These changes have been initiated for our homes currently under construction, therefore we do not expect to begin seeing the benefits of these actions until the latter half of 2009. We are also maintaining our focus on our lean operating goals, a long-term initiative designed to extract unnecessary waste out of the home construction process. The benefits include better scheduling, direct order of materials, working with large box and small box distributors, eliminating waste at the construction site, and reducing the days it takes to build our homes. Pulte is committed to a much more efficient homebuilding operation and this lean focus is part of our overall goal of continuous improvement for all of our operations. Turning to inventory management for a moment, keeping land acquisition and development spending at minimum levels to sustain our business is a key component of our cash generation and preservation goals. Pulte had 121,000 lots under control at the end of 2009 first quarter, a 17% reduction compared with our prior year first quarter. Of these total lots approximately 98,000 are owned and 23,000 are controlled with options. Our speculative home inventory now stands at approximately 2,400 units, 32% below our fourth quarter 2008 level. Approximately 1,300 of those speculative units are finished homes, a sequential decline of 29% compared with the 2008 fourth quarter. During our fourth quarter conference call I said that we were not comfortable with the amount of finished spec inventory we ended with in 2008 and our operators did an excellent job of selling and closing these finished homes during the first quarter. As Richard and Roger indicated this reduction did hurt margins but was nevertheless, necessary. We are also pleased to see a big reduction in our cancellation rate which was 21% for the first quarter, lower then the 47% rate for the fourth quarter of 2008, and the 28% rate for the prior year first quarter. The cancellation rate for our Del Webb brand was approximately 18% for the first quarter of 2009. First quarter 2009 signups were just over 3,000 units, down 44% year over year but up strongly from Q4 2008 levels. The year over year decline in signups was the largest in our Golf Coast area where we had a 50% decrease in net new orders primarily in our Florida operations, while the smallest was in our Mid West operations where signups were 31% lower then the prior year first quarter. Although we worked to deliver even better sales results we nevertheless were encouraged to see a seasonal pickup in sales compared with our fourth quarter 2008 and we’ve seen the same level of sales and traffic we saw in Q1 carry into April. In conclusion our attention to selling and closing homes, leveraging our overhead, generating cash, and managing inventory remain our top priorities. This focus provides us a path to return to profitability as soon as possible and ultimately return us to profitable growth. We continue to be diligent on land acquisition and development spending, managing house inventory levels, and achieving the best possible balance of price and pace in each of our communities. Also our ongoing pursuit of house cost savings is important to our goal of becoming a more efficient homebuilder. Our commitment to these elements of our near-term strategy is unwavering and will help position Pulte for long-term success. Now let me turn the call back over to Richard for his comments on our proposed merger with Centex.
Richard Dugas : Thanks Steve, before we end the call and answer your questions, I’d like to provide you with a brief update on Pulte’s combination with Centex. As you know on April 8, we announced that we would be merging with Centex to create the nation’s premier homebuilder. Since then we’ve had the opportunity to speak with a number of our investors and analysts, as well as our customers and employees and we appreciate the support we’ve received. Centex is the right partner at the right time for Pulte. The addition of Centex and its strength in the entry level and first move up categories balances our overall land and brand portfolio and expands our presence in more then 59 markets across America. By harnessing the scale and capabilities of both companies, the combined entity will be well positioned to navigate the current housing downturn with an unmatched platform for sustainability and growth. In addition a combined Pulte Centex will have a strong balance sheet supported with thousands of finished lots in great locations enabling positive cash flow opportunities. Also as indicated when we announced this game changing transaction last month, the substantial synergy opportunities this combination provides will position us to return to profitability as a combined company much more quickly then either company could have reasonably expected on a stand-alone basis. One of the principal goals of the integration is to bring our two companies together as quickly as we can and to do so in a thoughtful, deliberate, and collaborative manner. Tim Eller, Centex’s Chairman and CEO, and myself have been working very closely together over the last several weeks. We’re approaching the integration in a way that will ensure we begin operating on day one in the strongest position possible. Thus far, our discussions have been productive, positive, and focused on the realization of the benefits that this historic transaction provides. We’re both very pleased with progress to date and fully expect to complete the merger in the third quarter. That being said, I’d like to remind you that we’re here today to discuss our results for the first quarter of 2009, and we’d like for the following Q&A session to be focused on those results. Now let me turn the call over for your questions.
Operator: (Operator Instructions) Your first question comes from the line of Michael Rehaut - JPMorgan
Michael Rehaut - JPMorgan : I was looking through your, the S-4 filing yesterday, looking at the strategic case forecast and it looks like you’re projecting roughly flat revenue in 2010 and the pretty large, 40% increase in 2011 and pretty much steady growth after that, just trying to get at what you are assuming for orders and pricing relative to today’s levels over the next few quarters for that scenario to play out.
Roger Cregg : We don’t want to get into a lot of the detail on the S-4 but I think what we’re relatively conservative in our approach on the pricing side and then again if you take a look at the volume we expect a turnaround to start to form in 2011 and again, with moderate growth going forward from that standpoint. Again you can see the two cases that we used in there, one was more focused on liquidity and the other was more strategic which again you try to get back to some reasonable view of the business.
Michael Rehaut - JPMorgan : If you can give any type of market color, what markets were worse or better then what you had expected going into the quarter and whether or not any of the Federal tax credits, the credits in California have been a significant benefit to sales over the last couple of weeks.
Richard Dugas : A couple of thoughts there, we’ve seen some relative strength in the Washington, DC market over the first quarter. It appears that particularly the Virginia side as opposed to the Maryland side of that business is beginning to firm. I would say that the California tax credit is working well. Its probably been a standout relative to many of the industry contacts that I’ve talked to as well as our own business and I think part of the reason there is there’s a limit on the amount of credit dollars available and people are responding. Other then that, the markets are clearly still challenged and difficult. We’ve seen continued relative strength in Texas and to some extent in the Carolina’s but the market still remains challenged. But those would be the markets I would comment on.
Operator: Your next question comes from the line of Joshua Levin - Citi Investment Research
Joshua Levin - Citi Investment Research: Given that foreclosures are going to be with us for at least the next several quarters and they’re likely tick up before they go down, how much improvement do you think you can get in your gross margin until foreclosures start to abate which probably won’t be until some time next year at the earliest.
Richard Dugas : We’re not giving specific numbers on that but I will tell you that we hurt our margins substantially in Q1 based on the spec inventory that we did not anticipate coming into the year with because of the fourth quarter. So I would say with current business levels, we could reasonably expect margin improvement later in the year, maybe Roger can give you a little more color.
Roger Cregg : Yes, I think just looking at what’s in backlog today, basically we’re seeing a sequential improvement in margins going out for the second quarter and a lot of it was pressured by what we sold on the spec side. Now that’s only what’s in backlog and if there’s more spec sold that could give it pressure, but we’re certainly looking at from the numbers I gave you without interest of about 8.6% in gross margins. Some of those could be up 50% as we come through the quarter. So again they could be tempered by what happens in the spec side and the sales of those but if we’re just looking at where we’re going today, that’s what we’re looking for improvement in.
Richard Dugas : One other color, if you look at what’s happening in the market overall, with some seasonal improvement as we’ve highlighted pretty carefully on our call here in the first quarter, we have seen an ability to sell some presold units that we were having difficulty frankly doing last year and I think its pretty well understood that you can get several hundred basis points incremental on a presold unit if you can bring it to closing vis-a-vie spec sales. So as the market begins to firm and hopefully we’re beginning to see a little bit of that that’s part of our view as well and as we indicated we’ve been able to maintain, while not an exciting sales pace, a reasonable sales pace into April and that’s one of the reasons that we’re looking at that.
Joshua Levin - Citi Investment Research: Okay and regarding the presold units, do you have a sense people are buying presold units right now, are they compulsory buyers, they have to move, they have a few months to work out job relocation or do you think that people just think now is a good time to buy a home.
Richard Dugas : I would say its more the latter but Steve perhaps you could give a little color on that.
Steve Petruska : Yes, what I would tell you is this, the buyer who wants to buy a new home today and this is one of the reasons why we’re not building specs, is doing it because they want to be in a neighborhood maybe that’s a newer neighborhood that doesn’t have as many foreclosures in it. A lot of our presold dirt sales are in neighborhoods like that and to your point, they have more time to make their decision. We’re not taking contingencies as a general rule, if we have a house to close contingency our operations will take that on occasion where they’ve got an approved buyer on our buyers home, that type of stuff. So these people have time, they’re making the right decision, and they’re looking for value.
Operator: Your next question comes from the line of Ivy Zelman – Zelman & Associates
Ivy Zelman – Zelman & Associates : You have done as you indicated I think $82 million in absolute savings on SG&A and one of the things that we’re all trying to ponder and maybe you can help us a little bit, with respect to the opportunity not specifically guiding us on SG&A, but at the current improvement that you’re seeing in sales absorptions, realizing assuming that was this pace that you continue to see for the remaining portion of 2009, could you actually get back to break-even at these levels of sales because one of the things we all try to think about is utilization rate and where the break-even is and how many sales are you generating per community, so it seems as if your SG&A is significantly still much higher then where you need to be to return to profitability, even if Roger, back to your 8.6% gross margin going up 50% assuming that were to be the case, and I guess 50% would be a 12.6% margin or something like that, you still would not be making money. So help us on what sales per community would you need to see to start to be profitable again and are we there at the current run rate.
Richard Dugas : I’ll give you a couple of thoughts and then Roger as well, first of all I think a big, big focus area is just the poor revenue performance in the quarter driven by the backlog that we had coming in and so clearly our conversion at 21% is not good at all. We understand that. But we anticipated some of that coming in with the smallest backlog we’ve seen in six, seven years coming into the quarter. So part of it is how far can you take down the overheads relative to that performance and what you could reasonably expect to convert in the first quarter and I would tell you that was very limited on the opportunity. Having said that, we’re continuing to incur layoffs in the company unfortunately. We’re continuing to be proactive about that. But I would also point out that’s one of the reasons that the merger with Centex makes a lot of sense because effectively the synergy opportunities with combined companies, since we’re all as an industry and I don’t see anybody making money here, very under leveraged. Having said that, the combination of improving margins if we can realize those with a more steady rate of volume coming through will certainly help, but with that kind of backdrop, Roger go ahead.
Roger Cregg : I was just going to add as well the one thing that, what I gave you on the margin potential does not include is the cost savings that Steve talked about and our efforts along that line. We’re just seeing what we have today and what we’re building from the backlog we expect those to be coming in in the back half of the year in a very meaningful way. Given no further downward pressure on pricing to have to give up that savings, we would expect that we would very much approach that to potentially even exceed it but that’s the goal. And that’s the effort we’re driving up against today to continue to look out forward in front of us, not just for what’s in front of us at the moment on the closing side, but what we’re actually going to be able to do in the months to come.
Ivy Zelman – Zelman & Associates : With respect to my second question, everyone is moving it seems as if to a smaller unit and they’re building smaller homes as that’s really where the market is today, predominantly first time homebuyers, so one I’d love to know what your percentage first time homebuyer is and then how do you differentiate between other builders right now that are building as well much smaller homes.
Richard Dugas : Our percentage to date, maybe we could try to look that up for you, but I want to say its something less then 20%, right around 20%, and with the combination with Centex obviously it goes up as a percentage there as our portfolio gets more balanced. One of the things we continue to emphasize is the quality strength that we have relative to the competition. If you look at the combination of the two companies, Pulte and Centex, we’ve dominated the JD Power rankings, we emphasized that, but for that buyer, its about value. Its about price, its about value and we’re continuing to focus there. So I do believe that we can differentiate with the reputation that our company has, the reputation going forward that the Centex brand and the Fox and Jacobs brand has which is where we’re going to be emphasizing entry level product. And maybe lastly, that’s where financing is available today in the market. FHA financing is huge and thank goodness we have it and that’s where people can get financing. So we’re confident that we can see success in the results that we’re focused on there. Steve has outlined in some of his comments some of the things we’re working on and we like what we see as we look forward.
Operator: Your next question comes from the line of Nishu Sood – Deutsche Bank
Nishu Sood – Deutsche Bank : First question I wanted to ask was looking at your first quarter results, are there any impacts that we might have seen to your reported results because of the announcement of the merger and by that I mean specific expenses let’s say or cost cutting that might be happening ahead of that, maybe some adverse impact from uncertainty in your operations. I just wanted to get a sense of what impact we might have seen from the proposal.
Roger Cregg : The only thing I didn’t mention in there we had roughly about a $2.9 million in transaction related costs in the SG&A category. But everything else we talked about, the severance, some of the restructuring costs that we continue to run through was not very meaningful for the current quarter. So overall we didn’t have a big impact at all from that view.
Richard Dugas : I would also add I have not seen any change in performance on the operations as a result of any focus loss or anything like that in the operations.
Nishu Sood – Deutsche Bank : And any accelerated cost cuts or anything.
Roger Cregg : No, none.
Richard Dugas : We’re continuing to operate independently and focused to drive our independent businesses going forward while at the same time working on some of the merger integration, but no not yet.
Nishu Sood – Deutsche Bank : And second question I wanted to ask was on the land spend, $150 million in land acquisitions, $600 to $650 I believe you said in soft land costs, on both of those categories I wanted to understand, kind of flex, maybe get some more specificity, what types of land is involved in the $150 million land acquisitions, is that fresh acquisitions or is it option, takedowns and on the soft land costs I wanted to understand how much flex there is. Is that developing the back end of projects or is that new communities you’re looking to open, so just how much that might flex up or down.
Roger Cregg : As we have talked about in the past the $150 million would be the majority of it is rolling lot option takedowns. A lot of things we’re looking at today, we’re looking at to put very little money in if we can secure some properties to actually do it in a very capital light way. So we are looking at those today and we’ve got the majority of it though in rolling lot option takedowns from existing communities that we have. So that would represent about the $150 million in the potential forecast for 2009. On the land development which includes land development dollars as well as taxes and maintenance of that $600 to $650 roughly we’ve said about $250 million of that $600 to $650 is the soft costs for taxes and maintenance and upkeep on the properties. The balance of it would be development in second phases, third phases, not a lot of new communities being started. So they are continuation of phases that we’re in. For instance if we have a number of lots there and the prospect is that the volume is going to materialize, we may end up developing or we may end up pulling back and that’s what’s given us the latitude in this is watching where the volume goes and its spread out all the way through the country. Some of them are Del Webb communities as well. Some of them are community centers that we’re building out or finishing building out that may have been started last year so it’s a combination of a lot of those things. Some of those things we would not stop. They are integral to the overall strategy of a particular community and we continue to follow through on that. The others if volume fell off, again the latitude to be able to pull back so we do think we have pretty good latitude except for the soft costs on the majority of it. And again, if you’re not selling homes you have to do things in each one of those communities to be able to continue to stay open and continue to focusing on driving cash.
Operator: Your next question comes from the line of Daniel Oppenheim - Credit Suisse
Daniel Oppenheim - Credit Suisse: I know its become fairly common to talk about these sequential trends in orders here in the first quarter, but given the fourth quarter is very depressed with people not looking out there, not willing to buy homes, just wondering if you could tell me a little bit more about April, you said some of the first quarter trend to continue into April, are you talking about the sequential increase in orders or are you talking about just the absolute level of home orders that is continuing a basically constant pace into April.
Roger Cregg : Its more the absolute level of orders into April without getting totally specific on it. We’re not trying to signal that there’s been a giant improvement.
Daniel Oppenheim - Credit Suisse: So then I guess the follow-up is really going to be in terms of land where I’m getting the sense you were getting a bit more optimistic about the environment so, if you were thinking about land spending would you be willing to put a little bit more into it but from that last comment probably anything you would be still more conservative about trying to control spending through the year.
Richard Dugas : Yes I would say on the conservative side and that’s one of the reasons that we’re confident about our cash flow projections for the balance of the year and the other thing you’ve got to appreciate is that with the pending merger with Centex we’ve got a huge number of finished inventory units in the right locations that have the right buyer profile focused on them so I would even say we would even be a notch more conservative yet again because of that. We frankly don’t need some of the land that we were going to need as we were running out in many of our communities in areas that were exhibiting at least modest results.
Operator: Your next question comes from the line of Ken Weiner – MacQuarie Capital
Ken Weiner – MacQuarie Capital : I wonder if you could just talk about the impairment change, I realize gross margins came down but that’s really looking in the rearview mirror as you said to get rid of these spec units, given that you’re looking forward you talked about improving margins, why did we have such another high stage of impairments and how does that kind of tie off to the strategic forecast that was laid out in the S-4 in terms of even in that high mid single-digit range, even out in 2012.
Roger Cregg : Of course when you’re doing projections out a number of years, you do it based on some assumptions that you have in the current marketplace and that’s what we’re doing. The impairments are indicative of what’s going on in the current environment and so the impairments follow that, as they have every single quarter that we’ve been through this since 2006. I think looking around the markets, what we’ve seen, the foreclosure pressures continue to drive pricing in a lot of the markets and in order to compete we continue to see that. And I do know there are many differences in the way people approach looking out in the future, how they look at the opportunity for price appreciation but again, taking a look at where we are I would say that the pricing in the markets where the concentration is for us, drove the impairments that we had for the first quarter. So not unusual, didn’t do anything different then we normally do, taking a look at the pricing in each one of the markets, some of them have longer lives so our dollar values relative to maybe some of our competitors may be different because of that life when you do the discounting. Longer life projects have higher discount rates which are indicative of that, that you’ll get a bigger number. Shorter projects have lower rates and you might get a lower dollar impairment. All of that is in the mix of it and again, across the country differently.
Ken Weiner – MacQuarie Capital : And can you give us the units under construction, I realize you gave us your reported spec count, what was the units under construction.
Mike Schweninger : We have 4,435 under construction.
Operator: Your next question comes from the line of David Goldberg - UBS
David Goldberg - UBS: First question is on the sales pace at Del Webb versus the traditional homebuilding business and where you think sales at Del Webb are and if you’re seeing a pick up, like we’ve seen in the traditional homebuilding business.
Richard Dugas : The Webb business has been challenged especially after the equity hit that the buyers took in the fourth quarter. It hasn’t fallen off the table but I think in the past where its been a source of relative strength its not outperforming our current business at this point but I would say its holding its own, plus or minus about equivalent to the current business. Probably the biggest thing we’ve noticed is that its not outperforming at the current point.
David Goldberg - UBS: I guess the second question would be do you think that the reason you’re driving some sales pace and we’ve heard anecdotal evidence that other builders have told us that the active adult business has slowed down more then the traditional business, so do you think its more price discounting there that’s kind of helping you keep up the sales pace or maybe offering more incentives to folks or its been pretty steady.
Steve Petruska : On the Webb side, is that what you’re asking?
David Goldberg - UBS: In Del Webb.
Steve Petruska : Yes, the problem is that buyer is extremely inelastic, and when they got the big hit to their net worth in the fourth quarter they essentially drove a fairly high cancellation rate and you couldn’t get them back in the market so yes, we ended up with specs and because they’re so inelastic you have to move the spec price in the active adult community much more aggressively then maybe in a traditional entry level community. And its hurt us a lot more. Obviously as we’ve moved through a lot of those specs in the first quarter as Roger indicated the outlook gets a little bit better for that buyer and that’s what we’re looking forward to but certainly to get them to buy a spec home is much more difficult then getting just a traditional buyer to buy a spec home.
David Goldberg - UBS: If we were looking at non spec homes, just presold homes, would Richard’s original comments that the sales pace was pretty similar between the traditional homebuilding business and the active adult business still be true or do you think in that case that you do have a meaningful lag given that it sounds like a lot of the specs that cleared were Del Webb specs.
Steve Petruska : Yes, there’s not a noticeable lag, before Del Webb was a leader in our business, I would tell you now its performing kind of on par with the rest of our business so that certainly is hurting us because we’ve always looked for Del Webb communities to sell at higher absorption paces. So yes, its hurting us in a sense but when you look at the overall volume its probably not a meaningful lag relative to the rest of the homes that we’re selling.
Operator: Your next question comes from the line of Carl Reichardt - Wachovia Securities
Carl Reichardt - Wachovia Securities: Just on the follow-up on the Webb, if what you’re saying is true would this then lead us to conclude that the impairments related to Webb because of the slowdown of business force you to change pro forma’s more aggressively on your expectations for those communities this quarter.
Roger Cregg : That’s some of it, absolutely, as I said we took about $111 million in impairments among the Del Webb communities. So it was roughly about 34% of the total, that definitely had an influence on it. And again, expectation of where you think you can take pricing and cost and all those things, we want to see those materialize quite frankly before we assume that we’re going to have expanding margin and expanding volume in the short run. So yes, all that influences how we look at the models in the future and what the paces could be.
Carl Reichardt - Wachovia Securities: In terms of thinking about the infrastructure build out and the community related amenities you might provide in a Webb community going forward, obviously you’ve been moving that mix a little away from that, but do you have some kind of an estimate for how much you’d need to additionally spend on stuff like that, not just straight offsite development of lots and streets and curb and gutter, but I mean the amenity package. What would you have on average in investment in a Webb community.
Steve Petruska : What I would tell you is it kind of depends on the size of a Webb community. Obviously a Sun City which is the flagship of the brand which typically has a golf course and a clubhouse, its going to have a lot more spend then a [bi-Dell] Webb community that might be five or six hundred units. In general what we try to do is we try to put a lot of that infrastructure in up front to attract buyers. You are correct, we’ve had to manage that throughout this downturn so it kind of depends on when the community opened as to how much of that spend was able to get in prior to sales kind of starting to decline in mid 2000, early 2006. So it varies by community significantly. And Roger and I go over this on a quarterly basis with our field operators to determine the right amount of spend to drive the right amount of lifestyle to drive the right amount of pace at the right margin and clearly there’s a lot of art, not necessarily enough science, but we know exactly how much spend the field needs to do to get those things done. But we meter that out based on what we think is right for that community given the time.
Operator: Your next question comes from the line of Steven Kim – Alpine Woods
Steven Kim – Alpine Woods : Two questions, first one regarding Del Webb, you had indicated that the Webb units or the buyer tends to be a little bit more price inelastic my understanding about the dynamics of the Webb community are also that the impact of price cuts to that kind of buyer in that kind of project tend to be worse then in a sort of a standard project where you’re sort of in and out relatively quickly. And I was curious as to whether or not you had instituted a stricter cancellation policy in those communities, if not, why not, and whether you would take issue with my comment that there’s sort of a cascading effect of product declines in Webb communities above and beyond what you’ve seen on normal ones.
Richard Dugas : We don’t have a different policy regarding cancellations for Webb versus any other buyer. Typically the Webb buyer will put down more of a down payment so the cancellation percentages tend to be lower and we typically report those as lower each quarter. Part of that is because they’ve got more money up and frankly you’re not willing to walk away quite as easily. In terms of price cuts and Webb being more difficult then in a traditional community I think they’re difficult any time you have it. Clearly we try to be conscious of the homeowners that are in backlog and understand the overall community impact there and a lot of times what we’ll do is open up a new phase of a different product in a different section of the community, that type of thing, with a smaller product or a pricing change in order to help that. But I’m not sure if I’m getting to the heart of what you’re asking here.
Steven Kim – Alpine Woods : No, that’s fair, you’re basically saying they’re fairly comparable and that there’s not a real need to have a different policy between the two. My second question is related to the comment that I had, I think I read in one of your most recent releases, actually you submitted in your opening remarks about how your perception is that the combined entity of yourself and Centex would allow the combined company to come out of this downturn with better margins faster then you would on your own. I was curious if you could comment as to whether you feel that if you had been successful back in 2005 when things were significantly better if you also might have seen, or you believe, that the combined entity would have survived the downturn more or better then the individual companies have done.
Richard Dugas : That’s hard to speculate on. There’s been a lot of ground covered since 2005. I would tell you the comment I made in my remarks is that we would achieve profitability quicker as a combined company not necessarily on the margin side and I do believe that. We’re very under leveraged today. I think any home building company is under leveraged. It gets harder and hard to cut costs to keep up with declining demand so that’s one reason that we’re optimistic that the combination makes so much sense. If you go back to 2005 and whether a combination at that time would have actually happened how it would have helped us, I’d like to believe that we could have seen combined company benefits at that point in time but I’m not sure its worth speculating about.
Operator: Your next question comes from the line of Alex Barron – Agency Trading Group
Alex Barron – Agency Trading Group : I’m not sure if I missed this or if you gave it, but what was the cash flow from operations for the quarter.
Roger Cregg : We said it was roughly about $91 million in total cash coming in and the components of that I had mentioned were about $54 million reduction in inventory made a contribution and we paid about $217 million in payables and other accrued liabilities. And we got a tax refund of about $362 million and then again, the all other was about $108 million which the majority of that was the operating loss from a cash perspective of about $80 million.
Alex Barron – Agency Trading Group : My other question was as far as the lots that you own how many of those are finished and for the ones that aren’t finished like how much more money would it take to take them to a finished stage.
Mike Schweninger : The number of finished lots we have on hand at March 31 was 22,000.
Roger Cregg : Again that’s very difficult to get at on the unfinished side. Its probably part of the $600 to $650 that I’ve talked about that we’re spending this year is to develop lots in front of us and again, that’s going to be based on what the pace is so all of that is tied into the number I gave you of our potential investment in that. But again, its going to depend on where we are with each one of those projects, where they are in phases, so there’s a lot of nuances that go into that so I specifically can’t give you a specific number but I gave you directional numbers as far as the $600 to $650 in development dollars.
Alex Barron – Agency Trading Group : But that $600 to $650, like how many lots extra would it, would be finished just using that number.
Roger Cregg : I don’t have a number for that. Again, that’s, in total what the investment is based on what we think we might see. So its not specific by a lot number.
Mike Schweninger : It is fair to say that we have flexibility on how much of that we spend based on the demand levels we see and how many lots we need. That’s why Roger is indicating depending on what level of business we see, we’ve got the ability to pull that number back if needed, just as we did in 2008 to help us generate cash.
Operator: Your final question comes from the line of Susan Berliner – JPMorgan
Susan Berliner – JPMorgan: I had a question specifically on the bank line, I guess with the covenants getting a little tighter I would love your thoughts on I guess the bank environment regarding homebuilders. I know one of your competitors recently cancelled their bank line and I guess with the merger with Centex, I was wondering and I’m assuming that bank line will go away, so if you can give any color as to what you’re thinking down the road on the bank line and what you think the structure may look like would be helpful.
Roger Cregg : As I said many times, we have very good relationships with our banks. We’ve discussed the quarter with all the banks prior to issuing the release. So as always we’re continuing to look at what our options are given the current environment, where we’re going with it. I appreciate everybody has a different view of what’s necessary to save a couple of million dollars by not having it or what the level of insurance is to be able to have a backstop for that because the environment changes all the time. So we’re reviewing that now quite frankly so I don’t have a specific program or strategy at this point but we’re looking at all the opportunities. As we go forward with the merger when that is consummated and closed different picture on our overall view of the equity balance as well as the cash position so again, we’re looking kind of a short-term here for one quarter but I’d like to look longer term as well. I need to take that all into consideration as well, but we are working with our banks and again we have a very good relationship with them so again we’re looking forward to continuing to talk to them on this in the coming quarter.
Susan Berliner – JPMorgan: If I could just follow-up on that, I guess, I mean do you think it helps you now that one of your competitor’s line is away and that Centex potentially going, that line going away, do you think that gives you more room with your banks.
Roger Cregg : I just have to say that everybody manages their relationships differently and I think how you treat the relationships in good times or in bad times all plays into whether people are supportive in a time like this. So again, when you have specific discussions then you make decisions based on what the environment is and certainly the banking industry has been under a great deal of stress as you can imagine. So there’s a two way street here, its not just looking at us and where we’ve been, it also looks where they are but again, I’ve found them to be very supportive and it is different by builder. Clearly they are choosing the ones that they want to align themselves with for the long-term versus the ones that they don’t. So I think they take that into consideration, we do as well. Pricing is always important to everybody but so is the backstop of having a reliable and confidence that they’re going to be there for that. Again, that’s going to be different based on the dynamics of the environment at the current period. Again, yes I think I’m going to take all of this into consideration as we move forward.
Operator: There are no additional questions at this time; I would like to turn it back over to management for any additional or closing comments.
Calvin Boyd: Thanks everyone for your participation on the call today. Please contact us is you have any follow-up questions. Have a great day.